Operator: Welcome to the Qurate Retail Inc. 2024 First Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder this conference will be recorded May 08, 2024. I would now like to turn the call over to Claire Adams, Senior Manager, Investor Relations. Please go ahead.
Claire Adams: Good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent forms 10-K and 10-Q filed by our company and QVC with the SEC. These forward looking statements speak only as of the date of this call and Qurate Retail expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Qurate Retail's expectations with regard thereto, or any change in events, conditions or circumstances on which any such statement is based. Please note that we have published slides to accompany the earnings release. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA, adjusted OIBDA margin, free cash flow and constant currency. Information regarding the comparable GAAP metrics, along with required definitions and reconciliations, including preliminary note and schedules one through three, can be found in the earnings press release issued today or our earnings presentation, which are available on our website. Today, speaking on the earnings call, we have Qurate Retail President and CEO, David Rawlinson; Qurate Retail Group, CFO, Bill Wafford; and Qurate Retail, Executive Chairman, Greg Maffei. Now I'll hand the call over to David Rawlinson.
David Rawlinson: Thank you, Clair, and good morning to everyone. Thank you for joining us today and for your interest in Qurate Retail. In Q1 we continued to generate positive results as we executed our transformation strategies. In the past 18 to 24 months we took actions to improve margins. We elevated our merchandise assortment, reduced supply chain and fulfillment costs by negotiating better rates, created operational efficiencies and lowered administrative costs. These actions have resulted in continued margin expansion, profitability growth and free cash flow improvement. In Q1 we sustained gross margin expansion of approximately 400 basis points, which was the fourth consecutive quarter of expansion. We grew consolidated, adjusted OIBDA 45% as reported, which was the third consecutive quarter of adjusted OIBDA growth. Each of our businesses grew gross margins and adjusted OIBDA in the quarter. We also improved free cash flow for the fifth consecutive quarter of year-over-year improvement. We are pleased with our sustained momentum in the business through the first quarter. Last month, we launched the QVC Age of Possibility, a new marketing initiative that is focused on celebrating our core customer, women over the age of 50. For this campaign, we brought together the Quintessential 50 or Q50, a group of 50 celebrities, activists, QVC hosts and business leaders including Christina Applegate, Brunch with Babs, Dr. Mary Claire Haver, Donna Kelce, Billie Jean King, Patti LaBelle, Queen Latifah, Martha Stewart and Naomi Watts. QVC is partnering with these incredible women on programming, merchandise and much more to inspire and empower women over 50. The Q50 ambassadors have a total social following of 78 million. Many of our Q50 who attended this event have already expressed interest in signing on with QVC in a larger capacity. I'll speak more to this initiative momentarily. Now allow me to elaborate on each of our businesses, starting with QxH. Revenue declined in line with our overall discretionary retail market. Consumers remained selective in their spending due to inflation and interest rate uncertainty. Given this, in the colder start to spring, we saw customers buying seasonal products closer to when they needed them, such as gardening, spring apparel, tanning, sandals and swimwear. This resulted in uneven performance in these categories and in today's special value and today's special sales. Strength in other categories, such as intimates, fashion accessories and jewelry, partially offset this pressure.
MacKenzie: Now let's review programming highlights. Total minutes viewed on our five channels remained steady in the quarter. Last year we introduced the limited run series over 50 & Fabulous. We aired season three from February to early March and held the first ever two-hour finale. Our customers continue to engage at high levels. The series reached an average of 481,000 households per hour on linear TV, making it one of our top reaching primetime programs of the quarter. Total series sales exceeded 3 million. On social media, the series reached over 10 million followers with more than 18 million impressions. The program continues to engage customers through a monthly live stream on the first Friday of every month, and we plan to air season four in early August. We also held several successful events. In January, we aired a 24-hour event, Now You're Cooking, that was anchored by Lake Crusade's Today's Special Value. The day included six hours of additional live stream content featuring several celebrities and food experts, including Carla Hall, Zephyri Zagakuren [ph], and our own Vanessa Herring and David Venable. Over 3 million households tuned in to QVC throughout the day on linear TV, making it one of the highest Sundays for viewership in the quarter. For the first time since 2020, we focused a full day of programming on International Women's Day. We celebrated the accomplishments of women with special focus on some of the entrepreneurs who inspire us, such as Ami Richter from LUG, Renee Greenstein from Women with Control, and Mally Roncal from Mally Color Cosmetics. This event reached nearly 2.5 million households throughout the day on linear TV. We continue to stabilize the QxH customer file and grow the number of new customers. On a quarterly basis QxH customer count declined 3% compared to mid-to-high single digit declines in the second half of 2023. On Slide 8 of our presentation, you can see that our customer count has significantly stabilized. We've moderated the sequential decline of our trailing twelve-month count down to less than 50,000 from Q1, compared to down over 300,000 for the same period last year. We continue to see strength in the purchasing behavior of our existing customers. While only comprising half of the customer count, QxH existing customers still account for 90% of the total spend. On average, they purchased 32 items and spent more than $1,600 and the twelve months ended March 31 up 6% and 10% year-over-year respectively. QxH grew new customers 23% in Q1, marking the third consecutive quarter of new customer growth. We also saw new customer growth on a trailing twelve-month basis for the first time since the pandemic ended, with new customers up 7% in the twelve months ended March 31. I will now touch on streaming. Our streaming business is still small, but growing well. Revenue, total minutes viewed and monthly average users all increased well into the double digits in Q1. We anticipate similar growth rates for the full year. We're excited to announce that New York Times bestselling author, activist, actor and writer Busy Philipps, who has more than 2 million followers on Instagram, is returning to late night to host the talk show Busy This Week exclusively on our QVC+ streaming platform. She is bringing celebrity interviews, laugh out loud moments, personal stories and her favorite curated shopping thoughts. The show will premiere tonight at 10:00 PM Eastern. The first 10 episodes will be released weekly and will air four holiday themed episodes in November and December. Busy's show will be a shop the set, shop the look series, which means everything you see on the show, such as clothing, decor and props, is easily shoppable on qvc.com. Now moving to QVC International, which continues to be our most consistent business unit. We have grown adjusted OIBDA and delivered stable revenue for three consecutive quarters. These results reflect our successful efforts to improve product margins, lower fulfillment and administrative expenses and incubate growth streams like integrated experiences which we previously discussed. QVC International's Q1 revenue declined slightly, down 1%. Performance was led by our operations in the UK which experienced gains across its merchandise assortment with demand growth in all categories and particular strip within home. The sales growth in the UK combined with gross margin expansion and disciplined manage of operating and administrative expenses resulted in strong adjusted OIBDA improvement. QVC UK's integrated experience initiative, which is focused on gardening, generated incremental sales, customers and spend per customer in Q1. In Q2 QVC UK will conduct testing and learnings to scale its integrated experience. These actions include deploying an AI shopping assistance to increase discoverability of content and give customer advice, participating at the BBC Gardeners World Live event and partnering with our vendors to bring customers winning flower varieties from the Chelsea Flower Show. Moving to Cornerstone. Cornerstone revenue declined due to soft housing starts and consumer demand for home furnishings. We also experienced a shift to lower ticket products such as textiles and décor in light of the challenging macro backdrop. Cornerstone remained focused on profitability and grew gross margin 410 basis points in Q1, which was fueled by lower supply chain costs. Finally, I would like to close with the exciting new initiative we launched in April, The Age of Possibility to celebrate the limitless potential of women over the age of 50. For nearly four decades, QVC has served women 50 plus as our core customer group. This demographic has high discretionary income and controls 95% of household purchase decisions. Women 50 plus are also a large population with approximately 64 million in the U.S., and the population is growing twice as fast as the 20 to 49 groups. However, women 50 plus are overlooked by brands and marketers. We conducted a survey of over 3700 respondents and found that only 31% of women ages 50 to 70 feel supported by brands. Even fewer feel visible in brand marketing and advertising. These women are often made to feel that society views entering 50 as a stage of decline. To reverse this misconception we've gathered a powerful group called the Quintessential 50, or Q50, comprising 50 modern women over the age of 50 that includes celebrities, activists, QVC hosts, entrepreneurs, business leaders, and extraordinary everyday people who have no plans to slow down and they're living their next chapter in all sorts of inspiring ways. With the Age of Possibility, these women will provide input and tell their stories through curated new merchandise, on-air programming, remote broadcasts, social media content, podcasts, advertising in national publications such as U.S. Weekly and Women's World and Vogue, as well as in targeted growth markets on radio, YouTube, Meta, Out Of Home, and Display. In late April, QVC convened the first of its kind summit at the Sphere in Las Vegas Grand Prix Plaza, bringing together our Q50 brand ambassadors for a day of compelling conversations on this next stage of growth. Keynote speeches on navigating menopause, and Rita Wilson's first time performance of her new song, Set You Free. Coverage of the event was broadcasted across our QVC channels and across social platforms. In the weekend after launch new customer accounts grew 110% compared to the same weekend in the year prior. This month, we're starting the Age of Possibility tour to further engage our existing customers and attract prospective customers. We're taking our show on the road to cities across the country. In some destinations we will broadcast live. In others we will conduct panel discussions with some of our Q50 brand ambassadors and customers. We are excited about our mission to lead the way in changing how retail and entertainment see women over 50, empowered and full of possibility. In conclusion, Q1 showed the relevance, star power and new customer momentum in our brands and it is still early. Now I'll turn the call to Bill to discuss the financial results of each of our businesses in more detail.
Childs: Now let's review programming highlights. Total minutes viewed on our five channels remained steady in the quarter. Last year we introduced the limited run series over 50 & Fabulous. We aired season three from February to early March and held the first ever two-hour finale. Our customers continue to engage at high levels. The series reached an average of 481,000 households per hour on linear TV, making it one of our top reaching primetime programs of the quarter. Total series sales exceeded 3 million. On social media, the series reached over 10 million followers with more than 18 million impressions. The program continues to engage customers through a monthly live stream on the first Friday of every month, and we plan to air season four in early August. We also held several successful events. In January, we aired a 24-hour event, Now You're Cooking, that was anchored by Lake Crusade's Today's Special Value. The day included six hours of additional live stream content featuring several celebrities and food experts, including Carla Hall, Zephyri Zagakuren [ph], and our own Vanessa Herring and David Venable. Over 3 million households tuned in to QVC throughout the day on linear TV, making it one of the highest Sundays for viewership in the quarter. For the first time since 2020, we focused a full day of programming on International Women's Day. We celebrated the accomplishments of women with special focus on some of the entrepreneurs who inspire us, such as Ami Richter from LUG, Renee Greenstein from Women with Control, and Mally Roncal from Mally Color Cosmetics. This event reached nearly 2.5 million households throughout the day on linear TV. We continue to stabilize the QxH customer file and grow the number of new customers. On a quarterly basis QxH customer count declined 3% compared to mid-to-high single digit declines in the second half of 2023. On Slide 8 of our presentation, you can see that our customer count has significantly stabilized. We've moderated the sequential decline of our trailing twelve-month count down to less than 50,000 from Q1, compared to down over 300,000 for the same period last year. We continue to see strength in the purchasing behavior of our existing customers. While only comprising half of the customer count, QxH existing customers still account for 90% of the total spend. On average, they purchased 32 items and spent more than $1,600 and the twelve months ended March 31 up 6% and 10% year-over-year respectively. QxH grew new customers 23% in Q1, marking the third consecutive quarter of new customer growth. We also saw new customer growth on a trailing twelve-month basis for the first time since the pandemic ended, with new customers up 7% in the twelve months ended March 31. I will now touch on streaming. Our streaming business is still small, but growing well. Revenue, total minutes viewed and monthly average users all increased well into the double digits in Q1. We anticipate similar growth rates for the full year. We're excited to announce that New York Times bestselling author, activist, actor and writer Busy Philipps, who has more than 2 million followers on Instagram, is returning to late night to host the talk show Busy This Week exclusively on our QVC+ streaming platform. She is bringing celebrity interviews, laugh out loud moments, personal stories and her favorite curated shopping thoughts. The show will premiere tonight at 10:00 PM Eastern. The first 10 episodes will be released weekly and will air four holiday themed episodes in November and December. Busy's show will be a shop the set, shop the look series, which means everything you see on the show, such as clothing, decor and props, is easily shoppable on qvc.com. Now moving to QVC International, which continues to be our most consistent business unit. We have grown adjusted OIBDA and delivered stable revenue for three consecutive quarters. These results reflect our successful efforts to improve product margins, lower fulfillment and administrative expenses and incubate growth streams like integrated experiences which we previously discussed. QVC International's Q1 revenue declined slightly, down 1%. Performance was led by our operations in the UK which experienced gains across its merchandise assortment with demand growth in all categories and particular strip within home. The sales growth in the UK combined with gross margin expansion and disciplined manage of operating and administrative expenses resulted in strong adjusted OIBDA improvement. QVC UK's integrated experience initiative, which is focused on gardening, generated incremental sales, customers and spend per customer in Q1. In Q2 QVC UK will conduct testing and learnings to scale its integrated experience. These actions include deploying an AI shopping assistance to increase discoverability of content and give customer advice, participating at the BBC Gardeners World Live event and partnering with our vendors to bring customers winning flower varieties from the Chelsea Flower Show. Moving to Cornerstone. Cornerstone revenue declined due to soft housing starts and consumer demand for home furnishings. We also experienced a shift to lower ticket products such as textiles and décor in light of the challenging macro backdrop. Cornerstone remained focused on profitability and grew gross margin 410 basis points in Q1, which was fueled by lower supply chain costs. Finally, I would like to close with the exciting new initiative we launched in April, The Age of Possibility to celebrate the limitless potential of women over the age of 50. For nearly four decades, QVC has served women 50 plus as our core customer group. This demographic has high discretionary income and controls 95% of household purchase decisions. Women 50 plus are also a large population with approximately 64 million in the U.S., and the population is growing twice as fast as the 20 to 49 groups. However, women 50 plus are overlooked by brands and marketers. We conducted a survey of over 3700 respondents and found that only 31% of women ages 50 to 70 feel supported by brands. Even fewer feel visible in brand marketing and advertising. These women are often made to feel that society views entering 50 as a stage of decline. To reverse this misconception we've gathered a powerful group called the Quintessential 50, or Q50, comprising 50 modern women over the age of 50 that includes celebrities, activists, QVC hosts, entrepreneurs, business leaders, and extraordinary everyday people who have no plans to slow down and they're living their next chapter in all sorts of inspiring ways. With the Age of Possibility, these women will provide input and tell their stories through curated new merchandise, on-air programming, remote broadcasts, social media content, podcasts, advertising in national publications such as U.S. Weekly and Women's World and Vogue, as well as in targeted growth markets on radio, YouTube, Meta, Out Of Home, and Display. In late April, QVC convened the first of its kind summit at the Sphere in Las Vegas Grand Prix Plaza, bringing together our Q50 brand ambassadors for a day of compelling conversations on this next stage of growth. Keynote speeches on navigating menopause, and Rita Wilson's first time performance of her new song, Set You Free. Coverage of the event was broadcasted across our QVC channels and across social platforms. In the weekend after launch new customer accounts grew 110% compared to the same weekend in the year prior. This month, we're starting the Age of Possibility tour to further engage our existing customers and attract prospective customers. We're taking our show on the road to cities across the country. In some destinations we will broadcast live. In others we will conduct panel discussions with some of our Q50 brand ambassadors and customers. We are excited about our mission to lead the way in changing how retail and entertainment see women over 50, empowered and full of possibility. In conclusion, Q1 showed the relevance, star power and new customer momentum in our brands and it is still early. Now I'll turn the call to Bill to discuss the financial results of each of our businesses in more detail.
GREY by Jhoan Sebastian Grey: Now let's review programming highlights. Total minutes viewed on our five channels remained steady in the quarter. Last year we introduced the limited run series over 50 & Fabulous. We aired season three from February to early March and held the first ever two-hour finale. Our customers continue to engage at high levels. The series reached an average of 481,000 households per hour on linear TV, making it one of our top reaching primetime programs of the quarter. Total series sales exceeded 3 million. On social media, the series reached over 10 million followers with more than 18 million impressions. The program continues to engage customers through a monthly live stream on the first Friday of every month, and we plan to air season four in early August. We also held several successful events. In January, we aired a 24-hour event, Now You're Cooking, that was anchored by Lake Crusade's Today's Special Value. The day included six hours of additional live stream content featuring several celebrities and food experts, including Carla Hall, Zephyri Zagakuren [ph], and our own Vanessa Herring and David Venable. Over 3 million households tuned in to QVC throughout the day on linear TV, making it one of the highest Sundays for viewership in the quarter. For the first time since 2020, we focused a full day of programming on International Women's Day. We celebrated the accomplishments of women with special focus on some of the entrepreneurs who inspire us, such as Ami Richter from LUG, Renee Greenstein from Women with Control, and Mally Roncal from Mally Color Cosmetics. This event reached nearly 2.5 million households throughout the day on linear TV. We continue to stabilize the QxH customer file and grow the number of new customers. On a quarterly basis QxH customer count declined 3% compared to mid-to-high single digit declines in the second half of 2023. On Slide 8 of our presentation, you can see that our customer count has significantly stabilized. We've moderated the sequential decline of our trailing twelve-month count down to less than 50,000 from Q1, compared to down over 300,000 for the same period last year. We continue to see strength in the purchasing behavior of our existing customers. While only comprising half of the customer count, QxH existing customers still account for 90% of the total spend. On average, they purchased 32 items and spent more than $1,600 and the twelve months ended March 31 up 6% and 10% year-over-year respectively. QxH grew new customers 23% in Q1, marking the third consecutive quarter of new customer growth. We also saw new customer growth on a trailing twelve-month basis for the first time since the pandemic ended, with new customers up 7% in the twelve months ended March 31. I will now touch on streaming. Our streaming business is still small, but growing well. Revenue, total minutes viewed and monthly average users all increased well into the double digits in Q1. We anticipate similar growth rates for the full year. We're excited to announce that New York Times bestselling author, activist, actor and writer Busy Philipps, who has more than 2 million followers on Instagram, is returning to late night to host the talk show Busy This Week exclusively on our QVC+ streaming platform. She is bringing celebrity interviews, laugh out loud moments, personal stories and her favorite curated shopping thoughts. The show will premiere tonight at 10:00 PM Eastern. The first 10 episodes will be released weekly and will air four holiday themed episodes in November and December. Busy's show will be a shop the set, shop the look series, which means everything you see on the show, such as clothing, decor and props, is easily shoppable on qvc.com. Now moving to QVC International, which continues to be our most consistent business unit. We have grown adjusted OIBDA and delivered stable revenue for three consecutive quarters. These results reflect our successful efforts to improve product margins, lower fulfillment and administrative expenses and incubate growth streams like integrated experiences which we previously discussed. QVC International's Q1 revenue declined slightly, down 1%. Performance was led by our operations in the UK which experienced gains across its merchandise assortment with demand growth in all categories and particular strip within home. The sales growth in the UK combined with gross margin expansion and disciplined manage of operating and administrative expenses resulted in strong adjusted OIBDA improvement. QVC UK's integrated experience initiative, which is focused on gardening, generated incremental sales, customers and spend per customer in Q1. In Q2 QVC UK will conduct testing and learnings to scale its integrated experience. These actions include deploying an AI shopping assistance to increase discoverability of content and give customer advice, participating at the BBC Gardeners World Live event and partnering with our vendors to bring customers winning flower varieties from the Chelsea Flower Show. Moving to Cornerstone. Cornerstone revenue declined due to soft housing starts and consumer demand for home furnishings. We also experienced a shift to lower ticket products such as textiles and décor in light of the challenging macro backdrop. Cornerstone remained focused on profitability and grew gross margin 410 basis points in Q1, which was fueled by lower supply chain costs. Finally, I would like to close with the exciting new initiative we launched in April, The Age of Possibility to celebrate the limitless potential of women over the age of 50. For nearly four decades, QVC has served women 50 plus as our core customer group. This demographic has high discretionary income and controls 95% of household purchase decisions. Women 50 plus are also a large population with approximately 64 million in the U.S., and the population is growing twice as fast as the 20 to 49 groups. However, women 50 plus are overlooked by brands and marketers. We conducted a survey of over 3700 respondents and found that only 31% of women ages 50 to 70 feel supported by brands. Even fewer feel visible in brand marketing and advertising. These women are often made to feel that society views entering 50 as a stage of decline. To reverse this misconception we've gathered a powerful group called the Quintessential 50, or Q50, comprising 50 modern women over the age of 50 that includes celebrities, activists, QVC hosts, entrepreneurs, business leaders, and extraordinary everyday people who have no plans to slow down and they're living their next chapter in all sorts of inspiring ways. With the Age of Possibility, these women will provide input and tell their stories through curated new merchandise, on-air programming, remote broadcasts, social media content, podcasts, advertising in national publications such as U.S. Weekly and Women's World and Vogue, as well as in targeted growth markets on radio, YouTube, Meta, Out Of Home, and Display. In late April, QVC convened the first of its kind summit at the Sphere in Las Vegas Grand Prix Plaza, bringing together our Q50 brand ambassadors for a day of compelling conversations on this next stage of growth. Keynote speeches on navigating menopause, and Rita Wilson's first time performance of her new song, Set You Free. Coverage of the event was broadcasted across our QVC channels and across social platforms. In the weekend after launch new customer accounts grew 110% compared to the same weekend in the year prior. This month, we're starting the Age of Possibility tour to further engage our existing customers and attract prospective customers. We're taking our show on the road to cities across the country. In some destinations we will broadcast live. In others we will conduct panel discussions with some of our Q50 brand ambassadors and customers. We are excited about our mission to lead the way in changing how retail and entertainment see women over 50, empowered and full of possibility. In conclusion, Q1 showed the relevance, star power and new customer momentum in our brands and it is still early. Now I'll turn the call to Bill to discuss the financial results of each of our businesses in more detail.
Bill Wafford: Thank you David and good morning everyone. Unless otherwise noted, my comments compare financial performance for the three months ended March 31, 2024 to the same period in 2023. Starting with QxH, revenue declined 4%, primarily due to lower unit volume, which was partially offset by favorable returns and higher shipping and handling revenue. From a category perspective, QxH experienced growth in accessories and jewelry, which were offset by declines mainly in home and apparel.
Fire Light lab-grown diamond: Home revenue decreased 7%, primarily due to the colder start to the spring and causing low demand for gardening and outdoor decor. This was partially offset by strength in indoor decor and culinary. Apparel declined 4% due to soft demand for spring apparel and swimwear. Beauty declined 3%, reflecting lower demand for beauty devices and bath and body, partially offset by growth in hair care. Adjusted OIBDA margin increased 330 basis points. Gross margin expanded 360 basis points, mainly driven by strong product margins and favorable fulfillment expense. Product margins increased 200 basis points due to higher margin products driven by improved inventory health with less liquidation compared to last year, as well as lower supply chain costs due to project Athens initiatives. Fulfillment expenses improved 160 basis points due to efficiencies from project Athens work streams, reduced freight rates and lowered detention and demurrage. SG&A was unfavorable by approximately 35 basis points, largely due to sales deleverage and higher marketing expenses, partially offset by lower administrative costs. Marketing expenses increased mainly due to normalization of the annual spend compared to last year. Administrative expenses declined, primarily due to lower costs for outside services related to project Athens. Moving to QVC International, my comments will focus on constant currency results. Revenue declined 1%. QVC UK and Japan grew revenue in the high single and low single digits, respectively. Germany declined mid-to-high single digits. From a category perspective, QVC International experienced growth in home and declines largely in jewelry and apparel. Adjusted OIBDA increased 10% and adjusted OIBDA margin expanded 90 basis points. Gross margin expanded 70 basis points, mainly due to improved product margins which reflect lower returns, higher initial margins, and higher shipping and handling revenue. SG&A was favorable primarily due to lower administrative costs. Moving to Cornerstone, revenue declined 11% in the quarter. We experienced soft demand in most home categories and for apparel at Garnet Hill. Despite the revenue decline, Cornerstone grew adjusted OIBDA 50%. This performance was primarily due to favorable supply chain costs, from lower ocean and shipping rates to distribution center costs and large packet surcharges partially offset by deleverage of marketing and administrative expenses. Turning to cash flow and the balance sheet, in Q1 capital expenditures were $40 million and we spent $2 million on TV distribution contract renewals. Our TV distribution payments can fluctuate year-over-year depending on renewal cycles, though we continue to expect the two-year average to be approximately $100 million. In Q1 free cash flow was a use of $27 million compared to a use of $70 million last year. The year-over-year improvement was attributable to improved cash flow from operations driven by adjusted OIBDA gains, as well as lower capital expenditures and payments for TV distribution rights partially offset the comping of insurance proceeds from the Rocky Mount fire. We continue to expect higher adjusted OIBDA and lower TV distribution payments to benefit free cash flow in 2024. Looking at our debt profile. In March, we redeemed all remaining $423 million of principal outstanding of the QVC 4.85% senior secured notes due in 2024. We funded the redemption withdrawing under the QVC revolver. As of March 31, 2024, we had $1.3 billion drawn on the QVC revolver with $1.9 billion in available capacity. Qurate Retail had total cash of $1.1 billion, of which $311 million was at QVC Inc., $464 million at Liberty Interactive LLC, and $248 million was at Qurate Retail Inc. Our leverage ratio as defined by the QVC revolving credit facility was 2.5 times. Please note that covenant OIBDA includes the adjusted OIBDA of QVC Inc. and Cornerstone and a portion of the projected cost savings. The stated leverage was slightly above the 12:31 leverage ratio due to certain add backs no longer impacting the calculation, though these add backs were largely offset by adjusted OIBDA growth. In the past two years, we implemented programs to improve our liquidity and successfully executed our transformation plan. We affirm that our debt level is manageable and our current cushion is sufficient in relation to the 4.5 times maximum net leverage covenant threshold stipulated in our credit facility. In the first quarter we sustained momentum and generated strong profitability growth and free cash flow improvement. We look forward to building on our progress the remainder of the year. With that, I'll turn the call over to Greg.
Greg Maffei: Thanks Bill. That was another quarter of sustained and improved financial performance at Qurate, the third consecutive quarter of OIBDA growth and a continuing of the moderation of revenue decline. We are excited about the Age of Possibility launch and believe the iconic ambassadors including Billie Jean King, Queen Latifah and our very own, can't believe she's really 50, Renee Wilm will help unlock the opportunities across the multi-platform business. We remain confident in the execution of the turnaround and the trajectory of the business. We expect Qurate to sustain free cash flow improvement throughout the year. We remain focused on the balance sheet and addressing the near-term maturities. As noted, we repaid the outstanding QVC notes due this year and we continue to assess incremental opportunities to improve the balance sheet. With that operator, we'll open the line up for questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Carla Casella with JP Morgan. Please proceed with your questions.
Carla Casella: Hi, thank you for taking the question and thanks for the color and it's good to see the customer accounts starting to inflect more positively across a couple of the different categories. But I'm wondering if you could give us more color on the average spend of the customers. I know during the Investor Day, you talked about the Best Customers spend $3,800. Today you said over $1,600 for the existing. Is there any other details you can give between, like, the new existing reactivated and or if you're seeing any change in the transition, like is it still, are you still seeing the same number of new customers ultimately become best as what you had seen in the past?
David Rawlinson: Excellent. Thank you, Carla. I appreciate the question. I would say, so let me just run through some numbers just to give a little more detail, and then I'll give some more color. So for QVC Best Customers, keep in mind these are customers that purchase over 20 items a year. Yes, they're about 17% of the count and 76% of sales and we felt good through the quarter about their spend, retention and their frequency. And average spend for the quarter for those best customers was up about 7% on a trailing 12-month basis, about 3% on a quarterly year-over-year basis. So our best customers are still performing very well. Going back to the total overall performance of existing customers and existing customers are a broader subsection. So they're about 50% of the count and 90% of the sales. They purchased on average 32 items. They spent $1,000 [ph], about a little over $1,600 in the quarter, that's up 10%, so that feels very good. The other thing that we feel very good about in the existing customers is their retention was up both at QVC and at HSN versus last year. So we see good, very encouraging retention. We see good spending behavior. I think we see more stability in the file than we've had historically. I think if you look at the aggregate customer count numbers, you see it's basically flat since the fourth quarter. So, I think the customer count is very stable now with some good underlying dynamics. The new customers largely look like our traditional new customers. They're coming in through digital channels a little more than they have historically, and it's still early. We're a couple of quarters into really attracting new customers at scale again. And it sometimes takes a little bit of time to fully understand what their purchasing patterns are going to be, how -- what the demographics of those new customers are. So, we're watching it very closely, but I would say so far we are encouraged by what we're seeing from a pretty substantial crop of new customers that are now coming in the business.
Carla Casella: Okay. And if I can ask one follow-up. So there were 100,000 existing QxH customers lost with average spend in purchase frequency on those be more similar to the existing or can you give us any color on that?
David Rawlinson: I'm sorry, ask the question again, I just to want to make sure.
Carla Casella: Yes, you're losing customers. So in the existing customers accounts were down by 100,000 in the LTM versus last year. When you're losing customers, do they have similar spending frequency and patterns as existing or is it a lower amount, assuming they kind of drift off?
David Rawlinson: Yes, I think that's right. So, we tend to lose lower quality customers over time, and so they tend to drop out of the file. We have a pretty big effort going on right now. You'll continue to see improvement of the reactivated customers we're putting a lot of effort into whenever we lose an existing customer, especially if they were a very good customer, contacting them by phone or sending them print materials or giving them coupons to get them back into the brand. I would say if you, on average, if you trace a customer, one or two things happen there. And we know from calling and talk to them, talking to them, either they have a big life change, often a financial condition in their personal life that causes them to drop off, or they've dropped off slowly and for whatever reason have become less connected to the brand. Sometimes that's a result of technology. I would say final observation, we're seeing about as many people move up the file as move down the file. So our upper migration is now about the same as our downward migration. And that's been a reversal, a positive reversal, and I think that'll continue. And then eventually, when that flips is when you'll actually start to see growth in the aggregated customer file.
Carla Casella: Okay, great, thanks. I've got more, but I'll get back in queue and let others ask.
David Rawlinson: All right, thank you.
Operator: Our next question is from the line of William Reuter with Bank of America. Please proceed with your questions.
William Reuter: Good morning. I think that streaming comprised 5% of your minutes viewed last year. You mentioned it was growing, I guess, can you share where you expect that streaming may be as a percentage of minutes viewed this year? And then how is the spending of the customers that are viewing minutes on streaming services versus traditional linear TV?
David Rawlinson: Yes, thank you for the question. I don't think we've on a regular basis, updated exactly the percentage of overall minutes that streaming is. What I would say is it was about 5% last year. It's more than that. It's more than that now. It's been growing. We're streaming as a total for percentage of minutes is sort of high single digits and growing fast now. So, we're very happy with that progress. I think they'll continue to take share of total minutes as they continue to grow relatively quickly. The spending dynamics are a little bit difficult to tease out because a lot of times our customers are multi-platform customers. So, somebody who's streaming us may also be watching us on linear and then they're shopping on across a variety of sites and so we tend to look at them as multi-platform customers, not streaming only customers. I would say there's nothing about the profile of our streaming customers that causes us to be less excited about where we think what we think the growth of streaming is going to mean for the business and the medium, the long-term.
William Reuter: Got it. And then just secondarily for me, there have not been kind of consistent updates on Project Athens. I didn't know whether there was any way to think about what's left on this program. I'm not sure if the large majority of it has been completed or what types of dollar opportunities still may remain?
Bill Wafford: Yes, I think when you look through kind of what's been done in Project Athens, we've talked a lot about initiatives impacting kind of product margin fulfillment, kind of working down the P&L there. I think when you look at the balance of the year and what will carry into 2025, I think some of those initiatives are still being delivered, whether it's associated with cost of goods sold, improvement, fulfillment initiatives and others that will continue to benefit gross margin throughout the year. In addition, David referenced other in terms of how we're reaching out to the customer and some growth initiatives that I think will start to take shape and you'll start to see more impactful into 2024 heading into 2025.
William Reuter: Got it. And then I guess just lastly, for me, in terms of freight costs, do you know kind of roughly what percentage of freight are those, which you pay for versus your vendors paying for the freight and then if you're expecting any changes in your freight costs kind of going forward versus the LTM period?
Bill Wafford: Yes, it's obviously a mix. Right? Depending on how an individual contract is struck with our various suppliers. We haven't seen material impacts. Our teams have done a really good job of managing through. Obviously you had a lot of volatility around the COVID time periods. I think now even managing with the Red Sea, Port of Baltimore, which we don't use things like that, they've been able to effectively manage that and kind of mitigate any increases in freight and probably have a little bit of opportunity as more supply and has come online. But that's always kind of a case by case basis. We don't expect anything hugely material to change though.
William Reuter: Got it. That's all from me. Thank you.
David Rawlinson: Thank you.
Operator: Our next question is from the line of Hale Holden with Barclays. Please proceed with your questions.
Hale Holden: Good morning. The sales that were lost because of weather, whether they were in swim or outdoor, is your expectation that they may come back in the second quarter or are they just lost permanently? And then any thought on consumer health as you go into the second quarter versus what you saw in the first quarter? And then I had a follow up.
David Rawlinson: Yes. Two good and fair questions. What we think we're seeing, and I would say this has been true over the last 12 months to 18 months, is consumers are buying closer to the event and they're buying later. I would say the last three or four seasonal cycles have started later than they have historically. And so I think we're seeing some of that in spring as well. So, I would certainly hope that a lot of the uptick from spring and from seasonal wear will continue to climb as we get, as the weather turns warmer. And we've seen a little bit of that already. So, I do think those sales continue to be available for -- I do think those sales continue to be available for us. In terms of consumer sentiment, in the macro, I'd say it continues to be relatively stable, but stable at sort of persistently lower level and discretionary retail than what we've seen. I think you will have seen the GDP, real consumer spending numbers, unemployment numbers. I think there's nothing about those numbers that tells you the task is going to be taken off the market anytime soon. That being said, we're continuing to see real stability in terms of trends, in terms of buying behavior, purchase frequency. So our customers are sticking with us. They're still very engaged, they're still watching and they're still continuing to shop. We do see a little bit of trading down. So, we see a little bit of preference for lower price points. We see a little bit of preference for waiting for sales. That's especially the case by brands. Some of our lower average sale price bands tend to be experiencing that more, and we also see a little bit of leaning away from especially large purchases where consumers look to be a bit more considered. But generally, I would say we're seeing decent stability in the macro and in the outlook.
Hale Holden: Thanks. And then the second question I had was, if you could walk through the decision to put the 2024 maturity mostly on the revolver rather than using the cash that you had on the balance sheet, just given the interest cost on the revolver.
David Rawlinson: Yes, I mean, really just timing there in the quarter. We'll work through that on the balance of the year on appropriate capital allocation there, but timing in the quarter is all.
Hale Holden: Thank you very much. I appreciate it.
Operator: Our next question is from the line of Karru Martinson with Jefferies. Please proceed with your questions.
Karru Martinson: Good morning. Speaking as someone who was targeted with the new QVC women over 50 ad this morning, I can certainly say that you guys have stepped up your advertising, nice to see. I think last year you had kind of the inflection point in the third quarter where the business changed. One of the pushbacks I've gotten this morning is like, hey, you guys have shown stability, you have traction, but these are against easy comps. Do you feel that the momentum that you generated will continue here through the second half of the year?
David Rawlinson: So first, I'm glad you saw some of our advertisement. I would say don't just look by. Feel free to log in, help out the financials. We want you as a customer as well. So we did have, I think just on a practical basis, we did have some easier comps in the first half of the year. I think that's fair. And obviously, we had better performance in the back half of the year from an OIBDA and free cash flow basis last year. I think we think we have the ability to continue making real progress as we go through the back half. Bill talked about the fact that we continue to have Athens initiatives that we're executing going through the year. We continue to build on those initiatives. We have a management cadence where we're adding additional incremental initiatives to project Athens as we go. So we're refilling the funnel of initiatives. And then I think the other thing that will continue to be positive is as the customer count stabilizes and as we continue to get closer to flat and then growth. That also gives us some additional ability to drive the bottom line results. So we continue to be optimistic about hitting our objectives for the full year.
Karru Martinson: Okay. And how do you guys feel right now on your inventory given kind of perhaps some timing shifts on seasonal and as people buy closer to need?
Bill Wafford: Yes, I think we feel really good about, you know, a lot of work was done over the last, let's say, 18 months to get our inventory, kind of a right size position. I think if you look at ending Q1 2024 versus ending Q1 2023, the inventory level was still down about $200 million. And you feel comfortable that from a days of supply perspective, that teams have got a really good control on, kind of managing inventory level, and even with the kind of the impact of people buying a little closer to need.
David Rawlinson: Yes, I'd say a couple of things I agree with Bill. Obsolescence is in a good place. Age of inventory is in a good place. I think aggregate level of inventory we're carrying is in a good place. What I feel really good about, as we talked about, percentage of our sales that we're going to new or first time on air items that continue to grow, and those items are performing better than repeat items. And so as we've been able to get to a better inventory position and bring in new, higher quality merchandise than we had last year, we think that continues to be a tailwind for the business. So we feel good about our inventory and about what's in it and about what we're going to be bringing in for the back half of the year.
Karru Martinson: Okay. And just lastly, there's been a kind of a shift in the questions I get. You know, people feel comfortable that you have the liquidity, the cash flow to handle the 2024 maturities that you retire. The 2025 is coming up. I think the big sticking point for the market has been the 2026 revolver. You know, how are you guys thinking about that? Do you need a revolver this size? And what's kind of the early feedback from your banks?
Ben Oren: Yes. This is Ben Oren. I think the first comment would be, we don't need a revolver of this size. We've gone that high, and so we've got room to reduce that to make banks more comfortable. We're looking at it. It's gotten more and more favorable as the business has continued to perform. And I would say that we're only about a half turn away from being under the three and a half times RP [ph] test under the bond indenture, so long as the business continues on this trajectory. We're going to continue to monitor it and try to finance in a more favorable environment. Whether that comes in the form of a cash flow revolver or ABL or some alternative, we'll basically roll with what the market conditions are at that time.
Karru Martinson: Thank you very much, guys. I appreciate it.
Operator: Thank you. Our next questions are follow-up from the line of Carla Casella with JPMorgan. Please proceed with your questions.
Carla Casella: Great, thank you. Following on that debt question, can you give us the net deferred tax liability as it relates to the Linton [ph] notes at the end of the quarter?
Bill Wafford: Hey, Carla, I think we're going to be consistent and only give that once annually at the Investor Day, but no material change.
Carla Casella: Okay. And you talked to the 2026 revolver. Did you say I may have missed it, that you expect to pay the 2025 notes off cash like you did the. With cash and revolver like you did the 2024 notes.
Bill Wafford: Currently, that is our expectation that cash and cash on hand and revolver for the 2025s put it, if the markets continue to improve, we'll continue to look at the capital markets as an option to extend.
Carla Casella: Okay, great. Then you talked about seasonality and how customers are buying closer to season. What's your comfort level with the inventory that you have now? Is it a lot of seasonal merchandise that may need to be cleared, or are you in a good seasonal position with your merchandise inventory?
Bill Wafford: Yes, I think we feel good about our inventory. We don't have, we don't see a lot of excess seasonal that would need to be cleared. We feel good about the level anew. We feel good about the assortment going in the spring, so nothing that we see that's concerning there.
Carla Casella: Okay. And the fire related proceeds, that's all behind you. Right? There are no more, I guess, assets or anything on the balance sheet accrued for potential additional proceeds?
David Rawlinson: No, that's all behind us, Carla.
Carla Casella: Okay, great. And then just one question on Japan. Any more comments you can give us on that market? How the performance is there? And is that something you would ever consider monetizing, that stake in Japan to address some of your debt maturities?
David Rawlinson: Yes. So on performance, we continue to be optimistic about that business. We continue to think they're taking share in that market. They largely outrun a slightly, even if anything, more difficult mark set of market conditions. And so I'd say that's been, if you look over the last few years, one of our strongest performing, most consistent and strongest performing businesses. And it's a business that is growing and continues to grow. And so we feel very good. Other thing I just note about Japan is that, it is our core business model. So we do essentially with regional adjustments, essentially what we do across the QVC and HSN businesses and all of our other markets. We share talent across. We've had people who have led that business that have gone on to lead other businesses across the portfolio and vice versa. And in fact, I will be in Japan myself, and I think, next month. And so we're very excited about the business material, to the overall results in terms of whether we ever monetize it, I would say it's a core business. I've been pretty careful to delineate core and non-core businesses. It's a core business, but we're always looking at every opportunity to create shareholder value. We'll continue to do that, like all businesses, but we're very happy with the performance of Japan and what it's meant for the overall portfolio.
Carla Casella: Okay, great. Thanks a lot.
Operator: Our next question, or follow-up from the line of William Reuter with Bank of America. Please proceed with your questions.
William Reuter: Hi. I just have two that I think are relatively quick. The first, there are clearly a lot of big names associated with the age of possibility tour and marketing program, some of which you mentioned may be kind of staying on in a permanent role. Should we think about a meaningful increase in those, whether you want to call those marketing dollars, advertising, whatever those funds would be allocated towards, should that be a meaningful increase?
Bill Wafford: No, I wouldn't expect that. In terms of how we've laid out the year as fully anticipated with kind of the launch of Q50, I don't expect any meaningful change in our level of marketing spend across the portfolio, or it may be a reallocation of funds in some minor way, but nothing material.
William Reuter: Cool. And then the second one, you've mentioned that some of the more discretionary product categories that we're seeing weakness across all retailers. You've seen the same thing. Are you going to be changing your mix much this summer that will change kind of the margin profile to some kind of lower margin, less discretionary categories?
Bill Wafford: No, I don't think so. I think you'll continue to see us shift slightly away from electronics. We're dedicating less airtime there, and I think we don't see the same type of innovation or demand across electronics. That being said, if we see an innovation cycle happening, and we're starting to hear from some of the manufacturers that they may want to lean into an innovation cycle. If we see an innovation cycle happening, I think we have the ability to get back into that market relatively quickly. We're continuing, I think we're on a nice string in terms of gross margin expansion. Some of that's clear, but some of that's also being mindful of which categories we're pushing and what the margin profile on those, on those categories are. We're going to continue to maintain that discipline and so, and we're going to continue to lean into higher margin categories when it meets the demand we're seeing from our customer. So I don't see to your question, I don't see us going into lower margin categories at any sort of scale. We'll be opportunistic. We'll have to continue to read the customer and we'll follow the customer where she goes. But there's nothing that we see so far that should suggest we can't continue to make good progress on the gross margin profile of the business.
William Reuter: Great. Thank you. That's all from me.
Operator: Our next question is a follow-up from the line of Karru Martinson with Jefferies. Please proceed with your question.
Karru Martinson: Just some housekeeping. What was the split for QxH between QVC and home shopping network?
Bill Wafford: I don't think we talk about that publicly. Obviously QVC is the bigger of the two, but I don't think we've reported the split.
Karru Martinson: Okay. And then understand that existing customers spend about 1.6k on that, but those best customers that you referenced, what do they spend annually?
David Rawlinson: Best customers are around $3,900, just under $4,000 and that number has continue to grow over time.
Karru Martinson: Thank you very much, guys. I appreciate it.
Claire Adams: Great. And with that, thank you to the listening audience. We look forward to speaking with you next quarter, if not earlier. And operator, I think we can close the line.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.